Operator: All participants please standby, your conference is ready to begin. Good morning, ladies and gentlemen. Welcome to the CIBC First Quarter Results Conference Call. Please be advised that this call is being recorded. To reduce the audio interference, please turn of your Blackberry for the duration of the meeting. I would now like to turn the meeting over to Geoff Weiss, Senior Vice President, Investor Relations. Please go ahead.
Geoff Weiss: Good morning and thank you for joining us. This morning CIBC senior executives will review CIBC's Q1 2015 results that were released earlier today. The documents referenced on this call, including CIBC's Q1 news release, investor presentation and financial supplement, can all be found on our website at cibc.com. In addition, an archive of this audio webcast will be available on our website later today. This morning's agenda will include opening remarks from Victor Dodig, CIBC's President and Chief Executive Officer; Kevin Glass, our Chief Financial Officer will follow with the financial review; and Laura Dottori-Attanasio, our Chief Risk Officer, will close the formal remarks with the risk management update. After the presentations, there will be a question-and-answer period that will conclude by 9 a.m. Also with us for the question-and-answer period are CIBC's business leaders, including Geoff Belsher; Harry Culham; Steve Geist; and David Williamson, as well as other senior officers. Before we begin, let me remind you that any individual speaking on behalf of CIBC on today's call may make forward-looking statements that are subject to a variety of risks and uncertainties. These statements may include material factors or assumptions that could cause CIBC's actual results in future periods to differ materially. For more information, please refer to the note about forward-looking statements in today's press release. With that, let me now turn the meeting over to Victor.
Victor Dodig: Thanks, Geoff. And good morning, everyone. We're pleased to announce a strong start to the year. CIBC reported recorded adjusted earnings of $956 million or $2.36 per share, up 2% from the same period last year. We continue to generate industry leading returns with an adjusted return on equity of 20.6%. Our capital position remain strong with III Common Equity Tier 1 ratio of 10.3%. We also announced a $0.03 increase to our quarterly dividend. We are confident our client focused strategy and high quality asset base position us well to deliver consistent, sustainable returns and industry leading yield to our shareholders. During the first quarter we made progress on our priority to strengthen our CIBC franchise, by focusing on our culture, our clients and our shareholders. Our culture is evolving from the neighborhood [ph] focus which was acquired during a time of de-risking and stabilizing our bank to an out more orientation that’s focused on our clients. We remain committed to growing our shareholder value through prudent investments and strategic initiatives that support organic growth, which includes investing in our brand. We recently announced a strategic partnership that will see CIBC provide a number of services to enhance the travel experience for riders of the new express rail service between Union Station and Toronto Pearson International Airport,. The new express rail service is expected to be used by more than 2.5 million people annually and is viewed as an extension of our exclusive banking partnership with the greater Toronto Airports Authority. Under the agreement with Metrolinx, CIBC will have exclusivity in offering and marketing its financial services directly to travelers using the Union Pearson train link. These two partnerships, combined with our lead sponsorship of the Pan Am Games are providing us with a platform to elevate our brand in the eyes of Canadians and enhance opportunities for client acquisition. We also remain focused on delivering shareholder values through inorganic investments that will generate consistent sustainable earnings for our shareholders. Our interest is to build on our US Wealth Management business with a focus on Private Banking and Asset Management. Today while we've been actively assessing opportunities, we have not identified anything that meets our acquisition criteria. We will be patient and remain disciplined on valuation as we seek to deploy capital to grow our CIBC franchise. So now let's turn to results in each of our business units. The Retail and Business banking reported adjusted earnings growth of 2% and this excludes the impact from the Aeroplan sale which closed in December 2014. During the quarter, we experienced strong core consumer lending and deposit growth of approximately 10%. Business Banking revenue was the highest on record, driven by strong volume growth in both lending and deposits and we are tracking more clients to CIBC and deepening client relationships with our existing client base. Average products help [ph] per client has increased steadily, while the number of single product clients continues to shrink. We also continue to invest in strategic initiatives to better serve our clients. In the first quarter, we launched eDeposit for cash services, which allows our business owner clients to get credit for cash they've taken in from their clients before those deposits have been physically delivered to CIBC for deposit. This timely service has been well received by our clients who are business owners. During the quarter, we also recognized – we were also recognized for online banking innovation. Forrester named CIBC the best in Canada for online banking in the first quarter and this follows their most recent mobile banking benchmark report from May of 2014 which also ranked us first. We as a team are proud of these accomplishments. My colleague David Williamson is here to answer questions about our retail business banking franchise. Our diversified client driven wholesale business delivered very strong results this quarter, despite challenging conditions, with adjusted earnings growth of 26% from last year. It was driven by strong client driven trading and corporate banking revenues which drove record results in the segment. We participated nine of the top ten capital market deals price in the quarter and acted as a book runner for four of those. My colleagues Harry Culham and Geoff Belsher are co-heads of wholesale banking are here this morning to answer questions on our wholesale banking business. In wealth management, our integrated offer delivered a strong result in the first quarter with adjusted earnings growth of 13%. Our investments in technology to improve customer service and grow our client base are starting to pay off. Late last year, our CIBC Investor's Edge platform introduced a reduced direct brokerage rate of $6 to 95% for equity trade. This combined with an approved account opening system that shorten on boarding time from 45 to 10 minutes, as well as improved – help this improve penetration in our retail segment, where online brokerage account opening is up 55%. It’s a great example of how our strategic investments in technology and collaboration amongst our various business units can result an increased market share for our bank and increased satisfaction for our clients. My colleague Steve Geist, Head of Wealth Management is here to answer questions about our Wealth Management business. In closing, our goal is to be a strong, relationship based and high performing bank that will continue to deliver consistent and sustainable earnings and create significant value for our shareholders over time. Despite a challenging operating environment, we have delivered strong first quarter results and are confident we can continue to build on this solid base. In the first quarter, we also undertook actions to streamline our operations and realign resources to allow us to better serve – to better meet our customer needs. We will continue to prudent and flexible with our expense base, ensuring we adapt to the changing macro economic environment or continuing to make investments in our people and in our technology to build further strength in our business. So with that, I'd like to turn the call over to my colleague Kevin Glass to review our first quarter results in detail. Kevin?
Kevin Glass: Thanks, Victor. For my presentation, we’ll refer to the slide that are posted on our website, starting with slide five, which is a summary of results for the quarter. So we’re very pleased with our strong first quarter results which were driven solid contribution from all of our businesses. We delivered adjusted net income of $956million, or $2.36 on a per share basis. In our Retail and Business Banking segment, we continue to experience strong volume growth in core products, wealth management delivered 13% earning growth, driven by solid asset growth and we achieved record results in wholesale banking, executing on our client focus strategy. Credit performance continue to be favorable and we increased our quarterly dividend by $0.03 per share. We had a few items of note during the quarter, the more materials ones being that is part of our ongoing efforts to align our resources to better serve our clients and ensure that we are operating efficiently; we incurred a restructuring charge of $62 million after tax. Those had a gain from a counting adjustments on credit card related balance sheet amounts of $34 million after tax and a gain on sale of an investment in our merchant banking portfolio of $13 million after tax. In aggregate, the impact of these items of note on our earnings netted to a negative $0.08 per share. The balance of my presentation will be focused on adjusted results, which exclude these items of note. We have included slides with reported results in the appendix to this presentation. So let me now turn to the performance of our business segments, starting with the results for Retail and Business Banking on slide six. Revenue for the quarter was $2 billion, down 1% from last year, due to the impact of the Aeroplan credit card transaction in Q1 of last year, but excluding this impact, revenue was up 3%. Looking at our individual lines of business, revenue in personal banking was $1.6 billion, up 3% compared with last year. Performance benefited from volume growth across CIBC brand products, including a higher fee revenue on strong mutual fund sales, partially offset by narrower margins. CIBC brand mortgages grew 14% and our total mortgage portfolio, net of the first on mortgage runoff grew approximately 5%. Personal deposits were up 9% and mutual funds were up 18% year-over-year on strong net sales. Business Banking revenue was $402 million, the highest revenue on record and up 6% from last year driven by strong volume growth. Business lending balances were up 10% and business deposits balances were up 12% year-over-year. The other segment had revenue of $22 million, which was down $80 million compared to last year and that’s due to the impact of the Aero transaction in the first quarter of 2014. The provision for credit losses was $164 million, down 11% on a year-over-year basis. The decrease was due to lower write-offs and bankruptcies in the cards portfolio, as well as lower provisions arising from the sale of the Aero portfolio. Both our consumer and business lending portfolios in Canada performed well this quarter. Non-interest expenses were $1.1 billion, up 3% from the prior year, primarily driven by continued investment in growth initiatives. Net income was down 4% from the prior year quarter. Excluding the impact of the Aero transaction, net income was up 2% year-over-year. Net interest margin or NIMs on an adjusted basis were down 4 basis points due the impact of the decline in rate environment, asset mix and customer pricing deposits during the quarter. Going forward, we expect our NIMs to be stable. Slide seven, reflects the results of our Wealth Management franchise. Revenue was $621 million, up $117 million or 23% from the prior year with solid performances from all business lines. Retail brokerage revenue of $302 million was up $80 million or 6% compared to the prior year due to higher fee-based revenue. Asset management revenue of $210 million was up $36 million or 21% from last year. This was largely due to a combination of higher assets under management resulting from market appreciation and positive net sales of long-term mutual funds, and also a higher contribution from our investment in American Century Investments. Private Wealth Management revenue of $109 million was up $63 million mainly due to the impact of a full quarter results from Atlantic Trust versus one month in the first quarter last year. And annual performance fees earned in Atlantic Trust which added approximately $25 million in revenue in the current quarter. Non-interest expenses of $444 million were up $95million or 27% from the prior year, mainly as a result of the inclusion of Atlantic Trust, as well as higher performance-based compensation. Net income in Wealth Management was $132 million, up $15 million or 13% from Q1 of last year. Slide eight reflects the results of Wholesale Banking where we delivered strong quarter with record earnings. Revenue was $694 million, up $100 million or 17% compared with the prior year. Capital markets revenue of $395 million was up $65 million due to strong client activity and equity derivative and foreign exchange trading. Corporate and investment banking revenue of $279 million was up $29 million or 12%, largely due to higher revenue from corporate banking, including US real estate finance and higher advisory revenue, these were partially offset by lower investment gains. The provision for credit losses was $14 million, compared to the provision of $2 million in the prior year due to high losses in the legacy US real estate portfolio. Non-interest expenses were $327 million, up $17 million or 5% primarily due to higher employee related expenses, including performance-based compensations. Net income for wholesale banking was $271 million, up $56 million from the prior year. Slide nine reflects the results of the corporate and other segments, where the net loss for the quarter was $65 million compared to the net loss of $24 in the prior year which was largely as a result of lower securities gains in treasury, partially offset by a lower provision for credit losses in CIBC FirstCaribbean. As I mentioned last quarter going forward, we anticipate losses in this segment to be inline with this current quarter’s number. CIBCs capital position remain strong. Our Basel III common equity tier 1 ratio was 10.3%, which is inline with the prior quarter. Strong internal capital generation was offset by higher risk-weighted assets and the impact of the decline in long-term interest rates in our pension portfolio. RWA is increased by approximately $6 billion which is driven by business growth, the impact was a weaker Canadian dollar and capital model parameter updates offset to a certain extent by the sale of investment portfolios. At 3.8%, our Basel III leverage ratio which we now disclose is a regulatory measure of leverage was well above the minimum acquired by our regulator. To wrap up, we're very pleased with these results and a continued strength across our three business units. With that, I’d like to turn the meeting over to Laura Dottori.
Laura Dottori-Attanasio: Thanks, Kevin. And good morning. So I'll be referring to the risk section, which begins on slide 13. As Kevin mentioned this was a good quarter, loan losses came in at a $187 million or 28 basis points, so that’s down $7 million or 2 basis points from the prior quarter. This was mainly due to lower losses in retail and CIBC FirstCaribbean. Turning to slide 14, new formations were relatively flat quarter-over-quarter at $325 million. The decrease in our consumer portfolio reflects continued strong credit performance. The $12 million increase in our business and government portfolio relates to about handful of accounts in various industries that are not energy related. New formations continue to be at very low level. Growth impaired loans were up from last quarter and over 95% to the increase is due to the appreciation of the US dollar. So as consequence, growth impaired loans as a percentage of growth loans and acceptances came in at 0.56% which is up from 0.53% last quarter. In light of the decline in oil prices, we've added additional disclosure that you'll find on slide 15 and in our MD&A. So as it relates to our commercial corporate portfolio, we are just under $17 billion of direct exposure of which 58% is through exploration and production companies and only 4% is in the services space, about 80% of this is to investment grade name. To date, we haven’t seen any significant stress in this portfolio and there has not been any new additions to our watch list this quarter. As expected, we have seen an increase in our drawn exposures on both a year-over-year and quarter-over-quarter basis. A large portion of this increase is attributable to new names in our portfolio and to foreign exchange impacts. The balance comes from increased draws by some of our clients, primarily in the investment grade space. As it relates to our consumer portfolio, we have just under $30 billion of indirect consumer exposure to Alberta or $12 billion if we exclude our insured mortgages. The bulk of this exposure is to borrowers with strong credit profiles and to date we have not seen any stress in this portfolio and there have not been any notable increases in delinquencies or write-off. The credit quality of both the commercial and corporate oil and gas portfolio and the indirect consumer portfolios affected by the price of oil remain strong. Notwithstanding this, we do continue to proactively monitor these portfolios and we have conducted numerous stress test at low oil prices, increased unemployment rates, et cetera, to asses possible impact. And we believe those potential impacts to be manageable and because everyone is asking by manageable we mean that we could observe stress credit losses and remain at capital levels we're comfortable with. So that includes remaining well within our risk appetite and our medium term publicly stated objective of targeted losses below 60 basis points. So if you turn to cards on slide 16, you'll see our net credit losses were $90 million or 3% this quarter, that’s down $6 million or 22 basis points from last quarter. You will notice a small increase in our early stage delinquencies and this is a seasonal trend. In addition, this quarter was impacted by the month ending on a Saturday given payments are not processed until the following Monday. The takeaway on this slide is that the cards portfolio continues to perform well and that’s reflective of high quality credit and enhanced account management practices that we put in place last year. Our Canadian residential mortgage portfolio is highlighted on slide 17. As you can see 67% of our portfolio is insured with 87% to the insurance being provide the CMHC. The weighted average loan-to-value of our uninsured portfolio is 60%, and it has remained stable over the past few years. Condo mortgages account for roughly a 11% of our portfolio and the loan-to-value of the uninsured portion of this portfolio is 62%. Slide 18, shows our condo developer exposure which is also remained stable over the past few years and remains diversified across many projects. At January, the 31st, our authorized loans to construction projects were just under $3 billion and our drawn loans were $1.1 billion, which is up slightly from $1 billion last quarter. Lastly on slide 19, this shows the distribution of revenue in our trading portfolios as compared with VaR. we had positive results everyday this quarter, as compared to our having had two negative days last quarter. Our average trading VaR was $3.8 million, up from $3 million last quarter and this increase was primarily due to increases in credit spread risk. We continue to be comfortable with our market risk positions. And with that, I'll turn things over to Geoff.
Geoff Weiss: Thank you. And that concludes our prepared remarks. And we'll now move on to questions. Operator, can we please have the first question on the phone?
Operator: Thank you. The first question is from John Aiken from Barclays. Please go ahead.
John Aiken: Good morning, Victor. I think first off, the increase in the dividend was a bit of a surprise in the street or at least was from our stance, is this any change in stance or in terms of – is this a greater return to capital to shareholders? Does this mean that in the near-term, you're not necessarily seeing any acquisition targets or does it just simply reflect payout ratio you're comfortable with going forward?
Victor Dodig: Good morning, John. Thanks for your question. So, our stated payout ratio is in the 40% to 50% John, we're actually below the mid point today and we've been quite clear as a leadership team, that over the medium terms we'd like to be towards the high end of the payout range and really it’s a function of a couple of things. One is our business is performing well. The investments that we're making and our client franchise are continuing to deliver consistent sustainable earnings. So as long as we continue to have a constructive economic environment, and as long as our business continues to perform well, which we are very confident that it will, we will continue to work towards that higher end of the payout range over the medium term.
John Aiken: Thanks, Victor, and in terms of acquisitions, how patient or impatient are you and the board willing to be and have you actually targeted any specific regions that you're looking at?
Victor Dodig: So John, in terms of acquisitions, we've been active and we've disciplined. We've actually turned away things that don’t meet our valuation criteria. We've been quite clear in terms of our parameters around size, quite clear in terms of our parameters around valuation, quite clear that we are interested in the US market primarily, primarily in asset management and private banking. But our view is that the valuation has to make sense for our shareholders. If we're going to deploy capital then we have to have a reasonable expectation of accretive returns over the medium term and until we can't get that, we will be patient, because there is lot's room to grow in our Canadian franchise.
John Aiken: Great. Thank you very much.
Operator: Thank you. The following question is from Gabriel Dechaine from Canaccord Genuity. Please go ahead.
Gabriel Dechaine: Good morning. I've just got a couple of number questions. The Atlantic Trust performance fee, how does that work over Q4 or calendar Q4 kind of thing. And is it a profit share with some of the sub advisors there, and is this year unusual? And then, just on the margins in Canada, down 4 basis points and you said stable from here, was it a quarter – in quarter decline caused by some, anything unusual that's going to pick up like promotional stuff?
Steve Geist: Hi, there Gabriel. It’s Steve Geist. I'll start with the performance fee. That is driven by Atlantic Trust on its master limited partnership mandates and that is an area that it really have developed quite a specialty and have really grown the assets quite rapidly and delivered some very strong returns. It’s actually accrued at the end of the calendar year. So it’s a December 31 thing, so its something that we would see in Q1 each year and that is earned on asset they in fact manage and it finish the end of the year about US$2.3 billion and they've grown at quite rapidly over the last several years. They have – had these products in the market for the last eight years. They've earned a performance fee in seven of the eight, they've been quite consistent. The last five years it’s averaged a bout US$20 million and this year it came in at US$21 million.
Gabriel Dechaine: Thanks for that.
David Williamson: Gabriel, its David Williamson. I'll pick up on the NIM question. So little bit of both, environmental and situational. From an environmental perspective, the recent move to lower rates definitely put pressure on NIMs. But I think the greater story is from a business perspective. Our total funds managed in personal banking exceeded the other banks that have reported so far this quarter on a quarter-over-quarter basis in CIBC and as Kevin and Victor pointed out, business banking seems strong, funds managed growth as well. So there is a couple of inherent impacts on NIMs, included in that funds managed growth. So one is mix, we've seen strong volume growth across retail and business banking. Our credit cards is moving slower than the other lower margin products, so that affects NIMs on a mix basis. So we are seeing credit card outstanding starting to accelerate now, so that we'll mitigate that factor. And the other is enhanced rates on deposits. So in Q1, in both personal and business banking, we are very effective in using promotional rates to attract additional deposits in excess of couple of billion dollars in deposits than we otherwise would have brought in. So we're now a leader in deposit gathering, that has cost attached to it. So now we're using analytics to drive targeted versus mass offers, which we've used successfully in past to significantly increase retention of those deposit of balances, but there was concerted effort in the first quarter. Going forward, and as you said Gabriel, we're looking for NIMs to stabilize.
Gabriel Dechaine: So the deposits that you – were they new customers or was there a migration from checking accounts at CIBC to some high interest accounts, what was the story there?
David Williamson: Yes, the $2 billion was incremental funds in the door. I mean, actuals deposits grew by – quite a bit more than that, but we're seeing that of that outstand [ph] growth and deposits both $2 billion of it actually in excess of that was new funds in the door that wouldn’t have occurred with local’s promos.
Gabriel Dechaine: Okay. Thank you for the responses.
David Williamson: Okay, Thanks, Gabriel.
Operator: Thank you. The following question is from Sohrab Movahedi from BMO Capital Markets. Please go ahead. Mr. Movahedi, your line is now open. You may proceed.
Sohrab Movahedi: Thank you. Good morning, everyone. Just a quick question for just staying with David, David, the expenses, I mean, you have talked about the need to make some investments. You've talked about operating leverage for the full year being a tale of two halves. Were expenses a bit better than you had hoped or you had expected or you had guided us to this quarter, and can you give us a bit more color as to what, if there are any updates to the expense expectations and operating leverage, kind of thoughts for balance of the year?
David Williamson: Hi, Sohrab. Yes. Be happy to speak to that. Yes, they were a bit better than what we expected, but let me just give a bit of an overview. So as Kevin said, you take our revenue for retail and business banking, adjust for the impact of the sale of the Aeroplan assets and you're looking at 3% revenue growth, or more specifically, 2.5%. Expense growth came in at 3%, or more specifically 3.1%, so off leverage for the going forward business was slightly negative at 0.6%. So that was better than you may have expected and we've continued to guide to negative for the first half, but a bit better. I mean, we continue to look for expense efficiency opportunities and we did some of that in the most recent quarter. But, hopefully, there isn't any uncertainty that we continue to invest in our business, so better than expected. And consistent with what we indicated otherwise, again, for the first half. I think it's important that we recognize we continue to invest and we're getting benefits from those investments and if you'll allow me, I'll just review a couple of those investments that we are making. Because we are seeing an impact in our funds managed growth, I think as a result of some of these investments. So we continue to invest in COMPASS that was rolled out last year across all the branches in the third quarter, but there's more products put on to it. The early indications from COMPASS are its having a desired impact, both in the depth of relationships we're getting through the speed of onboarding new clients, but onboarding them not with products but with deeper relationships. We're investing in the mobile sales force, we continue to do that and it's resulting in mortgage growth that's double the industry average and the CIBC name even, excluding the impact of conversions from FirstLine. We're investing in innovative new products, such as the Tim Hortons' Double Double Card which has gone over quite well, and we have another card in the hopper for later this year, non-travel card. We're investing in online and mobile and as Victor said, we've been recognized for by Forrester as a leader in both online and mobile now in Canada against the big five. International Banker in the UK recognized us as the best Innovation in Retail banking within Canada recently which is supportive of the investments we're making in payments and innovation. So that, along with what Victor mentioned, with the Toronto airport and the uplink sales training and additional relationship managers in business banking, and we continue to invest right across the board in retail and business banking. And we're looking for efficiency offsets against that, we've called it back to front in the past where we're trying to reduce service costs, but enhance our sales team. And all that's, we're getting traction, so we're feel good about the investments and will continue to make it. Client experience is improving, our relationships depth is improving, and as I said before on a quarter-over-quarter basis, so far the reported banks, we've shown the most growth in funds managed. So the investments are getting traction, we'll continue to make them. So although this quarter was maybe a bit better in expectations, the story remains true regarding continued investment.
Sohrab Movahedi: Okay. So just to clarify David, as far as the full year was concerned you had said that you would be I think, I have heard you say that you in the past that you would be happy with flat operating leverage that would be a win and you're not changing that – those thoughts passed the first quarter results?
David Williamson: Thanks for asking, you're absolutely right. So same message before a bit, better this quarter, but the investments continuing. The overall comments we've made for fiscal 2015 remain the same.
Sohrab Movahedi: Thank you very much.
David Williamson: Thanks, Sohrab.
Operator: Thank you. The following question is from Robert Sedran from CIBC. Please go ahead.
Robert Sedran: Hi. Good morning. David, just since you have the microphone a follow-up question. Is it fair to say FirstLine is now having a diminishing impact on the margin, or is it still a positive?
David Williamson: Hi, Rob. It is diminishing. So we still are getting a 50% retention on FirstLine and I haven't had a chance to report on that recently so that -- we're still very pleased with how we're retaining those balances. But you're absolutely right, as where before it was having a more marked impact as far as the lift on NIMs, that's still there but diminished.
Robert Sedran: Okay. And I just wanted to follow up on, I thought I had Laura say and talking about the energy loan book that part of the reason that drawn exposure went up, is that there are new names in the portfolio, but I kind of understand supporting existing clients and NIM drawing on their lines, but perhaps Geoff can talk about what the bank is doing to grow that exposure and where its doing it?
Geoff Belsher: So Rob, what I would say is we're very selective, we're very focused in managing this situation in a prudent way. There are opportunities as some people may retrieve [ph] from certain accounts to selectively go in, but that is a highly selective thing on a few cases. So its not a large scale type of event. Basically our clients which is more a set of primarily investment grade are using this to short up their balance sheets and in some cases, you know, build some capability to do some acquisitions in what maybe a depressed commodity environment. So again I would say it’s highly selective, and it’s not widespread.
Robert Sedran: Is it more Canada or US Geoff?
Geoff Belsher: We see it in both. We have books in both places, again, we're more in Canada than in the US, a little bit in the US, a little bit in Canada.
Robert Sedran: Thank you.
Operator: Thank you. The following question is from Stefan Nedialkov from Citigroup. Please go ahead.
Stefan Nedialkov: Yes. Hi, it's Stefan from Citi. I have two questions. The first one is on the oil exposures. If I look at your previous quarter disclosure on un-drawn oil and gas facilities, that basically went down by around $400 million to around $8 billion this quarter. The drawn amounts went up by $1.7 billion, so I guess as a full of really, are we seeing drawn amounts being increased because of new clients or are you simply increasing the available un-drawn facilities to existing clients? So it's $400 million versus $1.7 billion? And my second question is on model updates. There was some talk in your press release again, and I guess that some of the numbers show that model updates, what is driving that, is that regulator driven? And what types of risks are you guys updating your models on? Thank you.
Laura Dottori-Attanasio: Hi, Stefan. It’s Laura. So I think I'll take both of those questions. So as it relates to draw downs in our oil portfolio, so a large portion as I mentioned as the, of what you're seeing the draw downs, we did bring in new clients. There has been foreign currency impacts relating to the US dollar and as we expected, we did see increase drawings and as Geoff pointed out, from some of our clients and that would have been primarily in the investment grade space. So it was expected but there is an increase and so we do actively monitor that and I can tell you that our team is in regular contact with our clients and from what we see they are adjusting, they are behaving in a very prudent manner given the circumstances and as a result we remain comfortable with the increase in the draw downs that we're witnessing. As it relates to model, I guess, in part I could refer to the piece that Gabriel Dechaine put out, so thank Gabriel for that. As you know, we can't comment on any specific regulatory review. That said, all of our material model parameter updates, they need to be reviewed and approved by regulators and that’s prior to implementation, so that would mean that old models would have been regulatory approved, then it also means that any new models we have would be regulatory approved and this is really just considered normal course of business for any Canadian bank.
Stefan Nedialkov: All right. And so…
Laura Dottori-Attanasio: Does that answer your question?
Stefan Nedialkov: Yes. And Well, there was a Wall Street Journal article talking about acquisition-related risk increases that the regulator is not very comfortable on, and obviously, you guys cannot really talk much about what's going on with the regulator, but in terms of acquisitions, within Canada or outside of Canada, are you completely comfortable with the risks you're taking on your books? And I guess, for those of us who do not subscribe to Gabriel's research, maybe you can you give us a summary of that as well?
Laura Dottori-Attanasio: So could I – I am going to hand that question over to Victor, but I can tell you that as Chief Risk Officer I am quite comfortable with the risks that we are taking and of course we would ensure we were comfortable as a team prior to making any acquisition and with that I'll hand it over to Victor.
Victor Dodig: Yes, Stefan. Thanks, for your question. So I don’t generally respond to articles like that, but I'll respond to your specific question, and that is around acquisition. So we are under no restrictions when it comes to acquisitions and growth. The only restrictions that were under are our own self enforce restrictions to be very disciplined. And as you would know any acquisition would have to meet, we have to get approval from regulators just as every bank would. So we are under no restrictions when it comes to growth.
Stefan Nedialkov: Okay. Great.
Operator: Thank you. The following question is from Sumit Malhotra from Scotia Capital. Please go ahead.
Sumit Malhotra: Thanks, good morning. First for Victor, just tying in your comments on capital return and the lack of what sounds like an imminent acquisition from the bank. Since your appointment to the CEO role, the bank has not been active on share repurchase activity. Is it fair to think, given where your capital position is and that your comments on the acquisition outlook that it would be reasonable to expect CIBC to resume returning capital to shareholders in that form in the near-term?
Victor Dodig: Sumit, thanks for your question. So, the four area that always look out when it comes to our financials are, in terms of return and investment, it would be dividends, it would be organic investments and we have significant organic investments that we're making David sort of listed a number of them and they are important, because they are going to provide very good returns we believe to shareholders. There are the inorganic investments and there are the buybacks. First and foremost, I think our shareholders value and I think it’s a most important reflection of the strength of our business that we work our way towards the high end of the payout ratio. Secondly, investing in our core organic franchise is very important to us. We see returns in retail, business banking, wholesale and wealth that are a direct function of the technology investments that we're making to make it easier for our clients to do business with us. The other two areas of buybacks and M&A are simply a I think a pillar of additional flexibility that we would use when we see fit. It’s important to maintain that financial flexibility as we go forward. So I wouldn’t read anything into imminent or not imminent, what I'd look at is, the core underlying results are strong, the investments that we're making are delivering stronger results and the leadership at CIBC feels very confident that we can continue to do that over the short, medium and long-term and the best reflection of that is to work our way towards the high end of the payout ratio when it comes to our dividends.
Sumit Malhotra: All right. I hear you there and then I want to switch it over to Harry and Geoff. Record quarter, at least the way I've looked at the numbers here, for the Wholesale Bank. And Victor, in the last few months has talked a lot about I'll paraphrase here, essentially CIBC moving from defense to offense again after a number of years of de-risking. Can you talk specifically about some of the initiatives that you gentlemen have transferred over to the wholesale part of the business from a growth perspective? And what specifically underpinned what was very strong results, particularly in the trading part of the business?
Harry Culham: Hi. It’s Harry. I'll take that off. As you probably know, Geoff and I've been responsible for this business for quite sometime now. So the strategy remains consistent. We are very, very focused on deepening our relationships with clients in Canada and abroad, as you probably would notice the earnings this quarter are well diversified across wholesale bank, that’s corporate bank, investment banking and capital markets with a specific emphasis on client activity and pre-volatile and reasonable look at markets. So we've seen good results in areas where we have invested, those initiatives you spoke about have been in place for quite a while. So we've invested a lot. As David is doing in retail and wholesale over the years and our trading platforms and our people. And that’s showing good results in working with our clients in difficult volatile markets. At the same time well diversified across all trading products.
Operator: Thank you. The following question is from Meny Grauman from Cormark Securities. Please go ahead. Mr. Grauman, your line is now open. You may proceed.
Meny Grauman: Hello. Can you hear me? Sorry. Hello?
Victor Dodig: Yes. We can Meny.
Meny Grauman: Hi, good morning. So just a broad question about the credit picture, definitely a good picture across the peer group. With no real warning signs, despite fears of the future. So I'm wondering, what you read into that. Is it -- does the credit picture in Q1 give you confidence that maybe the drop in oil prices is really going to be a non-issue from a credit perspective? Or is it just the case that it's just too early to tell and we don't have good information this quarter one way or the other?
Laura Dottori-Attanasio: Hi, Meny. I think its bit too early to tell, I mean, there is no loan losses, I mean, they are in part dependent upon our underwriting criteria on the state of the economy. We continue to have strong underwriting criteria, see good quality in the book, as I point to those from a watch list delinquency perspective to date we're comfortable. That said, the economy is facing headwinds, given low oil prices, so it’s really a question of how sustained these low oil prices will be.
Meny Grauman: And maybe it's sort of, looking out into the future, sort of, if we see the same kind of performance in Q2 or Q3, like, at what point do kind of start to look at these numbers and say I think this is actually giving us information that you know the situation maybe is looking better than maybe what some people expect.
Laura Dottori-Attanasio: Well, again, we watch oil prices closely and it will be a question of how sustained low oil prices are. That said, we do look at indicators in our portfolio, so early warning indicators, we watch things like draw downs and to what degree their increasing, revolving. We look at our watch list in the commercial corporate space to see if we're seeing signs of weakness there in our consumer books. We look at our delinquency rates. We also look at down grades, to upgrades in our portfolio and so where from your perspective I think you would start to see things as you look at your results, it would likely be more in that down grade scenario. So the first place we start to see some pressure as we have down grades, would be an increase in our risk-weighted assets.
Meny Grauman: Okay. Thank you very much.
Operator: Thank you. The following question is from Peter Routledge from National Bank Financial. Please go ahead.
Peter Routledge: Hi, this is for Laura's as well. On page 15 of the presentation, under indirect exposure, at Alberta HELOC and other exposures, have those – have households in Alberta been drawing on those lines at all in the last quarter?
Laura Dottori-Attanasio: No, we haven’t seen any changes in the last quarter.
Peter Routledge: If you start to see households draw on those lines, does it change your view of their credit worthiness and how do you respond?
Laura Dottori-Attanasio: So it doesn’t necessarily change our view in terms of credit worthiness. However, we do – we would look at that closely to see to what degree, if you will draw downs are increasing and are not revolving, because that would indicate if they haven’t moved and they are starting to move up and not come back down that there is some stress in the portfolio.
Peter Routledge: And do you start to revoke those lines for certain customers if you get worried like that? You certainly have the ability. Do you have plans to execute on that?
Laura Dottori-Attanasio: Well, we do like to support our clients and so we monitor the situation and it depends of course on the terms under which credits are granted and that normally there needs to be a breach in an agreement before you can sit down with a client to discuss whether or not you want to continue a relationship and under what terms and conditions.
Peter Routledge: But the household credit lines are generally revocable, right? Or do I have that wrong?
Laura Dottori-Attanasio: Well, again, if you have, if you are referring to HELOC, you would have to be in default of condition, so you would not be paying your interest for example, you'd be delinquent on that and that would be a moment where we could decide if we wanted to revoke credit or not. I think if we look more the question is perhaps more appropriate when we get into cards, where we do manage sort of our authorizations that we grant people and if we start to see things happening there, we do have the ability to adjust how much credit we're giving someone.
Peter Routledge: Okay. And then, just on your stress testing and this question will apply either to commercial or household portfolios. To what extent in your stress testing do you incorporate a deterioration in credit quality? So probability of default and or loss given defaults rising as things get worse?
Laura Dottori-Attanasio: So that is, if I call it a bit of a – what happens when we do the stress testing and that we look at multiple variables, and we look at it all kinds of different ways, but essentially when we go out and we look at what if for example unemployment rates rise, growth domestic product with retracts and what happens to asset valuations and from that we then look to see what happens to our clients, so as you would expect the probability of default would increase and depending upon what you are doing with your asset valuation your loss in the event of default would change.
Peter Routledge: So, in the context of that 60 basis point comment you made in your opening remarks, that includes a material deterioration in probability of default in loss given default across your portfolios?
Laura Dottori-Attanasio: That’s right.
Peter Routledge: All right. Thank you.
Operator: Thank you. The following question is from Doug Young from Desjardins Capital Markets. Please go ahead.
Doug Young: Most of my questions have been asked and answered but maybe, David, just on the -- and I think this was mentioned in Victor's prepared remarks in terms of, you notice an increase on average product per client. You've made a lot of investments; I think you've described them quite well in this call and past calls and in technology and product. Can you talk – give us a sense of what the outcome has been and, I guess, the best way to do that is if you could quantify it in terms of product by client or if there's other ways you can kind of quantified some of the success that you've seen? Thanks
David Williamson: Hi, Doug. Yes, let me speak to that, so back in 2011 when we said we had two objectives, enhancing client experience and accelerating profitable revenue growth, to make that happen we spoke about pivot from a product focus which by – pretty much by definition results in more single product relationships to a client focus and that’s really became a key element of the prioritization. So that was back in 2011 and you're right, we've been focused on that sense. So we talked about the progress since then, FirstLine a source of single product relationship, we try to get a deeper on FirstLine, couldn’t get there and then we made the decision to not roll that book any further. And in the adjustments to our new profile and travel cards, where we activated a focus on Aventura but retained Aeroplan as you know is part of that, we sold that part of our aero plan book that only had that product with us. So the single product relationships. So since then from a day-to-day operating perspective we've changed a lot, we've changed everything from incentives to the other end of the spectrum our investment I the COMPASS program and heck of a lot points in between those two extremes. And we have seen quite a change. So in 2011 we were actually heading there the other way, we were getting a thinner relationships, so our products use count, our depth measure of relationship depth was heading in the wrong direction and again that was because we focused on maybe a card sales or FirstLine sales, rather kind of product oriented focus. Since then we have changed the direction and over the last few years we've seen on the overall book about a 4% CAGRs as far as increase in debt of relationship measure to product use count, in the new clients through the door clients we've seen double that rate, which make sense because that’s where you can kind of effect a greater depth rate to the front end and the aggregate book will move a bit more slowly. That maybe give you another example of the transition and results. So some years ago we introduced the Petro Canada card, at that point we are focused on products and if you look at the depth the relationship we got with Petro Canada card it was bout 4% of the clients that took a second product with us. So it was really a card sale. With the Tim Hortons' Double Double Card, we focused on incenting [ph] a deeper relationship with us and with that card the depth to relationship has changed from 4% to over 50% that have more than a product with us. So we incentive that, but we didn’t incent just a hollow relationship, we've incented that most important second product which is a checking account, the one where either the payrolls being deposited or there is at least two [indiscernible] account. So its not a hollow secondary relationship but a robust one. So from Petro Canada less than 4% to the Tim Hortons Double Double Card were over 50% have deeper relationship with us, really I think is a tangible evidence in the change and focus and the results that we're getting from that change and focus. Thanks, Doug.
Doug Young: Got it, its great. Thank you.
Operator: Thank you. The following question is from Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic: Hi. Thank you. Good morning. Maybe I'll come back to my corporate and other after the call, because it's jus simple question I think we can hammer it out after the call, so just focusing back, Laura, I want to go back to the discussion on the stress test and the comment that you'd be below 60 basis points. And I guess what I'm really looking for, and I do appreciate the extra information you provided on slide 15 it's excellent, but I just want to make sure that we are talking about a stress test per se. Can you actually give us some meat as to what the assumptions are with respect to oil price, what the assumptions are with respect to unemployment and what the assumptions are with respect to real estate declines? That are baked into your stress test that results in a loss ratio that would be below 60 basis points?
Laura Dottori-Attanasio: Sure. So I'd like to start, I was actually hoping that comment would avoid a lot these questions, but that I did say that we would be well within that number. And so, yes, it does relate to the stress testing that we do and we have run a variety of stress test as it relates to our oil portfolio, including both direct and indirect exposures. We have looked at oil going down as low as $30. We have run unemployment in the Alberta area coming up to the Canadian national standard. We have dropped housing prices just under 20% and we also took I think about a half point off of our GDP. And so we've run, as I said a variety of stress test and those were probably the big headline items that we moved around to look at potential stress losses.
Darko Mihelic: Okay. I appreciate it, I guess where I'm going with that is I'd always thought that when you say below 60 basis points, through the cycle, quote, meaning that at certain bad parts of the cycle, you could actually lose more than 60 basis points, as you did 70 basis points in 2009. So I would've thought that a true stress test could of actually pierced that 60 basis points. So maybe you can clarify my thinking on that, am I wrong in thinking of the 60 basis points through the cycle, meaning that at some point you can actually exceed that number?
Laura Dottori-Attanasio: So and we do talk about this being our medium term, so we talk about that, I guess, I would caution that they are stress test that we run, so they don’t, like there is a possibility they might not be correct and so we run a variety of them to a get a feel for how bad things can be and for the stress test that we run both are miles and severe stress test. We still come within those guidelines. Now that’s not to say we might not have called things right, all kinds of different things can happen in as well, but when we run our various stress test we fall within our risk appetite.
Darko Mihelic: Okay. That's great. Thanks very much.
Laura Dottori-Attanasio: And the only thing I guess I would add to that of course, we're talking about when we run the stress a sustained decrease in oil price and that really affects Alberta primarily, so we're not talking about some other impact that could come into the Canadian market and affect other areas of the portfolio. So that would be just be the other important thing to point out.
Darko Mihelic: Okay. Thanks very much.
Operator: Thank you. Due to time restrains, we have time for one more question. The last question is from Steve Theriault from Bank of America Merrill Lynch. Please go ahead.
Steve Theriault: Thanks very much. Thanks for squeezing me. If I could ask Laura, I'll burden you with one more stress test question. I'd be interested in knowing…
Victor Dodig: Hey, Steve. Can you speak a little louder.
Steve Theriault: Apologies.
Victor Dodig: That’s better.
Steve Theriault: So to Laura, just one more follow up on the stress case, I'm curious, how much RWA inflation do you get - we talked about PDs and LGDs moving higher. There is an obvious impact on earnings but I'd be interested, I don't know if you can put this in terms of basis points of CET 1, or just in terms of gross risk-weighted assets, but interested in knowing how that migration in a stress case affects the CET 1 ratio.
Laura Dottori-Attanasio: Yes, so when we look at – if you were to assume one notch down grade in our business portfolio, so commercial corporate loan, so imagine an overall one notch down greater than portfolio, that would equate to about $1.5 billion of increase in risk-weighted assets and so that would be about a 10 basis point corresponding decrease in the CET 1.
Steve Theriault: Could you map that on the consumer side as well, somehow?
Laura Dottori-Attanasio: Yes. So on the consumer side, we thought we probably be just under a $1 billion sort of if had an overall one notch down grade.
Steve Theriault: Okay…
Laura Dottori-Attanasio: And again, whether or not that would continue to increase would really depend upon sort of how sustained and low oil prices are and just low they actually remain.
Steve Theriault: So that's fairly modest. And then, lastly, for David, just to follow up on your commentary around the Double Double Card and the cross sell, or multiple product customers going from 4% previous example to 50%, how much of that would be sort of creditor type insurance versus savings accounts type branch products, sorry if I missed that in your discussion earlier, but I'm curious on that front?
David Williamson: No problem, Steve. No. That's actually the savings account affecting those numbers. Not the creditor insurance, so it's really getting to that deeper kind of transactional banking relationship that we're getting to and Petro Canada, at less than 4%, just really we are focused on the product and not the relationship around it. So it just speaks to just a mindset shift to the client and building that relationship relative to a product and having sales of the products.
Steve Theriault: Okay. And any sense of the timing of the new card that you mentioned is coming down the pipe?
David Williamson: Later – much later this year, it’s in development now.
Steve Theriault: Okay. Thanks so much.
David Williamson: Thank you.
Operator: Thank you. I would like to turn the meeting over to Mr. Geoff Weiss for closing remarks.
Geoff Weiss: Thank you, operator. Well, that concludes our call. If anyone has any follow-up questions, please contact our Investor Relations department. And thank you for joining us this morning and we'll see you next quarter.
Operator: Thank you. That concludes today's conference call. Please disconnect your lines at this time and we thank you for your participation.